Operator: Good morning, ladies and gentlemen and welcome to the SiriusPoint Limited Third Quarter 2023 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Dhruv Gahlaut, Head of Investor Relations and Chief Strategy Officer. Please go ahead, sir.
Dhruv Gahlaut: Thank you, operator and good morning, good afternoon to everyone listening. I welcome you to the SiriusPoint earnings call for the 2023 nine months and third quarter results. Last night, we issued our earnings press release and financial supplement, which are available on our website, www.siriuspt.com. Additionally, our webcast presentation will coincide with today’s discussion and is available on our website. With me here today are Scott Egan, our Chief Executive Officer and Steve Yendall, our Chief Financial Officer. Before we start, I would like to remind you that today’s remarks contain forward-looking statements based on management’s current expectations. Actual results may differ. Certain non-GAAP financial measures will also be discussed. Management uses the non-GAAP financial measures in its internal analysis of results and believes that they are informative to investors in gauging the quality of our financial performance and identifying trends in our results. However, these measures should not be considered as a substitute for or superior to the measures of financial performance prepared in accordance with GAAP. Please refer to Page 2 of our investor presentation for additional information and the company’s latest public filings. At this time, I will turn the call over to Scott.
Scott Egan: Thank you, Dhruv and good morning, good afternoon, everyone. Thank you, as always, for joining our third quarter results call. This has been another strong quarter of results for SiriusPoint, and we’ve delivered our first ever underwriting profit in the third quarter since the group was formed and our fourth consecutive quarter of positive underwriting results. The actions we have been taking are having a demonstrable impact and our performance is improving. Our results and balance sheet are getting stronger, and their overall quality is improving, which serves us well as a platform for further improvement in 2024, which is our aim. I am pleased with our progress, but I also recognize there is much more to do. There is much determination, but no complacency. I’d like to provide some comments on two areas before we get into the results. We entered into a standstill agreement with Mr. Daniel Loeb in August. This agreement comes after Mr. Loeb and certain affiliates filed a 13-D regarding a potential transaction to acquire the company in April and a subsequent 13-D filing with the decision to conclude the exploratory discussions in May. The standstill agreement removes any lingering uncertainty and underlines Mr. Loeb’s full support for the strategy and progress he outlined in his 13-D. Secondly, I want to reflect on my first 12 months at SiriusPoint. I believe we have made significant progress and performance has improved. We remain committed to building a strong unified culture in order to achieve our ultimate ambition of being a best-in-class insurer reinsurer. We know we have a way to go but the last 12 months is a good start. We continue to operate with an underwriting first approach. It’s important to create the right blend of culture, leadership and inclusion to attract and retain talent. We’ve strengthened our team with many high-quality senior appointments within underwriting, claims, human resources, finance and other parts of the organization, and we will continue to invest in our people. They are our most important asset. We have created real shareholder value over the past 12 months, and our ambition is to continue to do so. We importantly believe there is material opportunity to do more. As we build a track record of success at SiriusPoint, I am very proud and grateful to my colleagues who have worked incredibly hard. Their efforts have helped us to achieve a good deal in a short period of time. I’m excited to see out 2023 and continue our progress in 2024. Before sharing key messages relating to the results for the last 9 months of 2023, I’d like to point out that we have revised our 2023 interim financials. This was driven primarily by a manual calculation relating only to the second quarter property cap business and also an overnight data transfer are resulting in the incorrect recognition of net premiums and net income. We have now implemented an additional control to ensure the accuracy of the net premiums calculations, and we expect to complete the remediation expeditiously. Slide 8 provides a summary of the changes to our KPIs. The impact to book value was less than 1% per share. There is also no impact on the financial statements for discrete third quarter or on the first 9 months results. In an effort of continued transparency, we elected to revise the company’s historical consolidated statements despite not being required to do so, recognizing this need for transparency and accuracy as we continue our performance improvement journey. Moving now back to the strong quarter results. I would like to focus on the key messages, which I outlined on Slide 5 and provide an update on our strong progress across our strategic initiatives. Overall, we are very pleased to report continuing performance improvement in the third quarter and another period of positive capital generation across all parts of our business, underwriting, MGAs and investments. Underwriting income for the 9 months was strong as we delivered a combined ratio of 87.6% for our core business. This is inclusive of $102 million of one-off reserve releases linked to the LPT we did earlier this year, offset in part by the reallocation of $29 million of expenses to the combined ratio from outside of the underwriting result. Adjusting for these one-offs, we delivered 12 points of like-for-like improvement on the core combined ratio year-over-year. Third quarter core catastrophe losses of $7 million were significantly down compare to $115 million a year ago and supported by the decisive actions taken in the portfolio. As an example, our property cap premiums are down around $300 million and contributing to an approximately 60% reductions in PMLs for a 1 in 100-year event since the second quarter 2021. We continue to take further underwriting actions targeting specific parts of the portfolio, and we will continue to prioritize underwriting profits over premium growth during 2024. Our underwriting results are supported by favorable prior year development of $130 million for the 9 months ended 2023 and $30 million in the discrete third quarter. During quarter three, we had an adverse development of $80 million with regards to workers’ comp within the insurance segment. I wanted to call this out given the market-wide focus on casualty lines. For us, this strengthening is very specific and relates to the same program, which had an adverse reserve development during 2022. Consequently, we have completed a comprehensive review of the program and made a decision to exit the underwriting relationship at 1/1 next year. Overall, we remain comfortable with our reserves and continue to hold buffers as we maintain a prudent and conservative approach to our reserving. Our investment results have again been strong this quarter, and we are ahead of our full year guidance on a run rate basis. As a result, we are increasing the 2023 full year net investment income guidance to $250 million to $260 million, up from $220 million to $240 million. Our investment strategy remains focused on high-quality fixed income instruments with an average credit rating at AA, and we remain well placed to manage market volatility. Our portfolio is performing well, and we saw no defaults across the portfolio during the first 9 months of this year. Moving on to our MGA strategy, which is core to our business. This year, we launched the SiriusPoint International MGA Center of Excellence to deliver an efficient and collaborative onboarding experience for new MGA partners in our London international business. The program mirrors our North American structure and improves both quality of experience and operational efficiency by allowing our partners to access expertise across SiriusPoint’s global platform. Our partner pipeline is strong in both international and North America, and we are being selective. We want to work with partners who share our disciplined approach to underwriting and operate in a data-centric way. Equally important is the cultural fit. We want to work with like many partners who share our philosophy. Since the second quarter, we have onboarded three new MGA partnerships, which are pure underwrite relationships and involve no equity stakes in line with our disclosed strategy. Overall, MGA results remain strong. Capital light fee income from our five consolidated MGAs is growing strongly year-on-year with revenues up 7% versus the previous year, while service margin is up 1 percentage point to 21%. The book value of the five consolidated MGAs is only $92 million, but we believe the actual economic value is significantly higher given their attractive growth profile and earnings generation capability and are not fully reflected in SiriusPoint’s share price, a point I will continue to make. We have made progress on reducing the number of equity stakes in MGAs to concentrate on fewer and deeper MGA relationships and have now sold seven states since the start of the year. Banyan, which is one of our consolidated MGAs and one more stake was sold during Q4 bringing our total holdings down to 29 equity stakes from 36 at the year-end. Banyan results were consolidated in our 9-month financials. However, we will stop consolidating them effective fourth quarter ‘23, but will continue to provide underwriting capacity to them. Overall, all three areas of our business are delivering strong results compared to prior years and we are continuously improving performance. Moving on to our balance sheet, which is strong. Book value was stable this quarter on an ex-AOCI basis has increased by 3% during the quarter and 14% since year-end ‘22. Our capital position is stronger with our BSCR ratio at 238% at the end of the second quarter versus 219% at the first quarter ‘23. Our debt leverage remained stable at 25.3%. We are exploring ways to optimize our capital structure. Let me end where I started. We have made significant progress in the past 12 months for our shareholders. But 2023 is not a destination, it is a platform for further improvement, and our game is to make 2024 a step-up again. Whilst we continue to shape the portfolio with some top line impact, our ultimate ambition is to make this a growing and profitable company that operates at best-in-class levels. Rest assured, we are working incredibly hard to achieve that with no complacency. We know the journey from underperformer will not be a straight line, and we will make some mistakes. But all that said, 2023 has been an important year in reestablishing the inherent potential of SiriusPoint. I’d like to thank all our stakeholders, shareholders, customers and employees for their support and patience while we execute our actions. We believe the future is brighter as a consequence of the. With these remarks, I’ll now pass over to Steve who will take you through the financials.
Steve Yendall: Thank you, Scott, and good morning, good afternoon, everyone. I will now take you through the financial section of the presentation, and we will start with Slide 10, looking at our 9 months financials for 2023. We delivered positive profits and generated capital across all three sources of earnings, underwriting, MGA fee income, and investments during the last three quarters. Net income to SiriusPoint common shareholders at $245 million was up $621 million versus prior year as our results last year were mainly impacted by negative investment returns and higher cat losses. During the 9 months ended of 2023, core underwriting results improved as we delivered underwriting profits of $213 million, which benefited from $102 million of reserve redundancy linked to the LPT transaction. Excluding the release linked to the LPT, underwriting profits were $111 million with a combined ratio of 93.5. Our portfolio actions are having an impact, given cat losses for the core business were down to $14 million year-to-date compared to $138 million in the same period of the prior year. More detail on our cat losses is available on Slide 7. Gross premiums written for the core business increased 3%, driven by reinsurance, which was down $202 million and partially offset by insurance and services, which increased $129 billion. The decline in reinsurance premiums was a result of the already announced portfolio restructuring actions we have taken in the International Property segment. Capital light net services fee income increased by 11% at $38 million versus $34 million last year, while service revenues are up 7% versus last year, and margins are up to 21%. Total investment result was strong at $208 million and driven by $205 million of net investment income, while unrealized and realized gains including related party were $2 million and significantly better than the $436 million this period last year. Investment results have benefited from higher yields, and we raised our full year net investment income guidance to $250 million to $260 million versus $220 million to $240 million previously communicated. Net corporate and other expenses were down to $194 million for the nine months, a $27 million improvement versus the prior year. We had two moving parts here. One, we moved $29 million of expenses above the line within our core underwriting results, which supported an improvement. But on the other hand, we had $32 million of one-off expenses in relation to restructuring costs and transaction costs. Transaction costs of $8 million were in relation to the 13-D process and the loss portfolio transfer. Restructuring costs are $24 million for the nine-month period and we expect an additional $1 million of restructuring costs to come during the fourth quarter. Other notable items during the period include a $44 million negative impact from mark-to-market on liability classified capital instruments. Moving to Slide 11, I will talk briefly about the third quarter financials. Overall, it was a positive quarter with regards to the underwriting result, as we delivered our first ever positive underwriting results in Q3 since the group was formed. Our underwriting profits were $43 million with the accident year combined ratio at 94.8% and an improvement of 19 points year-over-year and supported by lower cat losses at 1.2 percentage points. Most premiums written decreased 14% versus last year for the core business and were impacted by lower premiums in both segments. Insurance and services premiums were down $65 million while reinsurance premiums fell by $53 million compared to the third quarter last year. Net income of $58 million was an improvement versus the $98 million loss during the prior year quarter and was supported by positive earnings from underwriting, investment income and MGA fee income. This quarter included $5 million of restructuring charges and $9 million related to the interest on funds withheld related to the loss portfolio transfer. Overall, all three sources of earnings were higher than the prior year. Diluted book value per share at $12.11 was broadly unchanged during the quarter and impacted by mark-to-market movements on fixed income securities, adjusting for AOCI, shareholders’ equity grew 3%. Moving on to Slide 12, we provide an update on the rate commentary. Rating trends in Q3 have remained broadly similar to the first half of 2023. Average rate increases were around 7% for our portfolio, excluding the North America programs business. North America program business saw 6% rate increases during Q3, excluding cyber and workers’ compensation, which have both been under pressure, and we are taking portfolio actions to manage the profitability of our book. U.S. property cat rates have remained strong at 20%, while non-U.S. property cat rates have been up 6% during the quarter. Next, Slide 13 shows the change in combined ratio versus ‘22 nine months ended for our core business and breaks the movements into individual subcomponents. Our portfolio actions are yielding positive results as the combined ratio for our core business on a like-for-like basis has improved by 12 points year-over-year. Our headline combined ratio of 87.6% has benefited from 6 percentage points of reserve releases linked to the LPT transaction. However, the expense reallocation of $29 million results in around 2 percentage points drag. Adjusting for these two results, on a like-for-like combined ratio of 91.9%, which compares to 103.9% for the nine months of 2022. Attritional loss ratio was higher at 63.4% or 0.9 points up on the previous year, and is partly impacted from mix changes between insurance and services and the Reinsurance segment and also from large losses in the international business. The mix changes resulted in better profit commissions which are captured in the acquisition cost ratio, which has resulted in around 1.5 points improvement. Looking at both of the moving parts together, results in a net improvement of 0.5 point year-on-year. We look at the investment portfolio and investment results on slides 13 and 14. We have made progress as we delivered a strong net investment income figure, increased our overall asset duration to 2.7 years from 2.5 years at Q2 2023 and locked in attractive reinvestment yields in excess of 4.5% on our investment. Total investment result is higher at $208 million versus a loss of $375 million in the prior year’s same period and supported by higher net investment income. We have continued to rotate our portfolio and have now invested over $1.5 billion year-to-date and increased our exposure to corporates and asset-backed securities. Overall, our investment strategy remains unchanged and focused on maintaining a high-quality fixed income portfolio. 74% of our investment portfolio is now fixed income, of which 97% is investment grade with an average credit rating unchanged at AA. P&L volatility is significantly lower versus last year and has helped given 88% [ph] of the fixed income portfolio is now designated as available from 85% at Q2 ‘23 and none at year-end 2021. Moving on to Slide 15, which looks at our balance sheet, our balance sheet is strong, ending the quarter with $2.3 billion of shareholders’ equity, which is stable since the prior quarter. Total capital including debt was $3 billion. Our issued debt is unchanged, while our debt-to-capital ratio is stable at 25.3% and remains within our target range. With this, we conclude the financial section of our presentation. Our results continue to be strong. We are on track to deliver significant improvement in profitability in 2023 with only one quarter to go. We are close to our goal to achieve double-digit return on average common equity for the full year, including the benefit of the loss portfolio transfer. As we plan for next year, we expect to realize full run rate benefits of all our strategic actions in 2024 as well as deliver a double-digit return on average common equity. I would like to thank you again for your time this morning. For any questions, please contact our Investor Relations team at investor.relations@siriuspt.com. I will now turn the call back over to the operator.
Operator: Thank you, sir. Ladies and gentlemen, that then concludes today’s conference. Thank you for joining us. You may now disconnect your lines.